Operator: Ladies and gentlemen, thank you for standing by and welcome to Sun Communities' First Quarter 2012 Earnings Conference Call on the 26 April 2012. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in any forward-looking statements are based on reasonable assumption, the company can provide no assurance that its expectations will be achieved.
 Factors and risks that could cause actual results to differ materially from expectations are detailed in this morning’s press release form and from time-to-time in the company’s periodic filing with SEC. The company undertakes no obligation to advise or update any forward-looking statements to reflect events or circumstances after the date of this release.
 Having said that, I’d like to introduce management with us today; Gary Shiffman, Chairman and Chief Executive Officer; Karen Dearing, Chief Financial Officer; and Jeff Jorissen, Director of the Corporate Development. [Operator Instructions]
 I would now like to turn the conference over to Mr. Gary Shiffman. Please go ahead, sir. 
Gary Shiffman: Thank you, operator, and good morning. Today, we reported funds from operations of $25.9 million or $0.90 per share for the first quarter of 2012 compared to $19 million or $0.83 per share for the first quarter of 2011. These results exclude acquisition-related costs incurred in each of the referenced quarters.
 Revenues increased to $83.1 million in the first quarter of '12 compared to $69.7 million in the first quarter of 2011. It was another excellent quarter for the company as all performance metrics continued to meet or exceed expectations and I will discuss a few of the most significant drivers of growth and then spend some time focusing on our markets and acquisition strategy.
 Revenue producing sites in our same property portfolio increased by 147 sites  2011 increasing occupancy from 84.8% to 86.1%, an additional 147 revenue producing sites were added in recently acquired communities, which are not yet included in the same property portfolio. So, in total, we added 294 residents in this year's first quarter compared to 143 in 2011's first quarter.
 In our same site portfolio, revenues grew by 5.3%, while expenses increased by 0.3%. NOI increased by 7.3% as compared to 4.2% and 1.7% in the first quarter of 2011 and 2010 respectively. NOI is also benefiting significantly from the continued momentum of quarterly occupancy gains.
 Home sales topped 400 for the first time in any quarter improving strongly from the 357 sales in the first quarter of 2011. Applications continued to drive occupancy and sales as nearly 6600 people applied to live in our communities in the first quarter. This represents an annual rate of over 26,000, almost 3,000 more applications than in 2011.
 And now what I'd like to do is review our markets. And as measured by revenues, approximately 85% of our business consists of open communities appealing to initial homemakers and those seeking affordable housing. It was the business segment which suffered most during the last decade as the industry recovered from its underwriting excesses and can be added to now the single-family credit bubble. The same property NOI growth for this segment, which excludes age-restricted in RV communities has nearly doubled from 2.7% in 2010 to 5.2% in 2011 as well as the first quarter of 2012.
 As rental increases have been relatively consistent over the years, this improved NOI performance is attributable to both greater stability of the existing occupancy and resurgent demand for our product in the all age or open segment of the market. Narrowing the focus to our Midwest portfolio, which are 100% open communities, a focus on same property NOI growth by region reveals an even stronger market recovery.
 The NOI generated by Michigan, Indiana and Ohio, which is how we define our Midwest portfolio grew by 0.2% from 2009 to 2010. That growth increased 14-fold to 2.9% from 2010 to 2011 and comparing the first quarter of '12 to the year 2011, growth of an additional 50% brings NOI growth to 4.5%. Again, the above results are strongly supported by occupancy trends. Our Midwest same property portfolio accounted for 27% of the occupancy gains in 2010 and 39% in 2011.
 In the first quarter of 2012, the same property Midwest portfolio supplied 49% of the occupancy gains and that really grows to 75% when we consider residents added to our recent Michigan Kentland acquisition. Rental increases are also a major contribution to growth, a 3% rental increase and 45,000 occupied sites approximates $7 million per year. And as we look at these markets, we identify 3 major markets in the company portfolio. Florida with 12,500 sites is notable for stability and predictability, predictable and reliable growth. Florida's MH communities are essentially fully occupied and the RV communities present opportunities of scale and market penetration to achieve greater seasonal occupancies. Texas and Colorado will have over 7,300 sites by the end of the year as several expansions come online.
 Since December 31, '07, these strong markets have added over 1500 sites growing to an occupancy, which currently exceeds 96%. There are over 3000 additional sites available for development in Texas and Colorado in future years. The Midwest portfolio with 29,500 sites was the hardest hit by industry and national downturn. While Florida, Texas and Colorado were primarily responsible for the company's growth over the last few years, it is in fact the Midwest market, which is now driving our growth and will likely continue current trends noted above, due to the availability of quality sites and strong locations and the bottoming of the economic cycle in this region. We are now benefiting from significantly improving performance of all 3 of our major markets, which are the primary generators of internal growth.
 In general, there are also 3 growth opportunities presented by acquisitions and expansions. As discussed on prior calls, the company has had a solid pipeline of acquisitions under review. We are also under various stages of expansions in 7 communities in Texas, Oregon, and Colorado, where the communities are all full and demand remained strong. Today, I thought I'd share with you the following examples that present some of the basic modeling that we look at. Purchasing a fully stabilized community generating $800,000 of NOI at an 8% cap rate with revenue expense growth estimated at 3% per year. The $10 million investment will be generating an un-levered return of approximately 9.3% after 5 years.
 The assumptions relative to expansion assume the development of land already zoned and owned by Sun. They involve constructing the sites, purchasing and renting homes to fill the expansions, and then selling the rental homes and thereby recouping the capital investment. The investment of an expansion will be generating an un-levered return of approximately 11.75% 5 years after construction is completed. This return is over 25% greater than the return on the purchase of a stabilized community that we just reviewed.
 Now, consider the acquisition of a 67% occupied community the assumptions here are a bit more intricate and include the use of the rental homes to initially fill the community, as well as the 9% cap rate at purchase due to the lower occupancy and assumed deferred maintenance and the need for capital improvement. The investment will be generating an approximate un-levered return of 12.5% after 5 years more than 30% better than the return on the stabilized community.
 The lower the initial occupancy or the greater the available vacancies to match up against absorption and demand, the better the return will be. Our focus is a balanced approach on all 3 of these growth opportunities with the current emphasis on the acquisition of communities with potential for solid occupancy growth. We own zoned land for expansions in our strongest markets and are active in developing those sites, where occupancy is now possible. And as I said, demand remains strong. We believe these opportunities are becoming available, because our owners cannot afford the cost of recapturing or regaining lost occupancy and there is very little or limited third-party help from fleet dealers today.
 The rental program is profitable and critical to any community owner who wishes to maintain and build occupancy. Our experience with the program provides us with a capability to drive occupancy and cash flow in our expansions and acquisitions. We apply the same underwriting standards and background checks to rental applicants as we do to potential homebuyers. And we are looking for solid rental residents who have the capacity to eventually become our resident and own the homes. As a result, less than 50% of rental applications to live in our communities are actually approved. Our average return on capital in the rental program exceeds 16% after considering a vacancy factor in all direct rental expenses.
 Manufactured homes today are built to last very similar to site-build housing. And it's not unusual for an older or newer community to have a number of 30 and 40-year-old homes which are neat and well-maintained. Our rental homes undergo a thorough refreshening and refurbishing upon each lease term to restore them to like new, all of which is expensed. It is because of this program to maintain asset quality that our homes retain their value during the average of 7 years that our home is in the program before it's sold. Upon the sale of the rental home, the owner then pays site rent that approximates $5,000 on average annually, and we have received all - substantial portion of the capital, we had invested in the home.
 The goal of the rental program is to fill sites, where residents reside for 14 years on average and the home remains in the community generating a revenue stream for 30 to 40 years. We also benefit from being relieved of all maintenance costs on the homes upon sale. It's the success of this program which allows us to aggressively expand our communities and seek to buy communities with opportunities to increase occupancies, which in turn enhance and accelerate growth.
 So, let us now turn to the 2000 acquisition of the Kentland portfolio in West Michigan and the role the rental program has played as it relates to that acquisition. Kentland consists of 18 communities comprised of 5,200 sites in the Western Michigan. When we acquired the Kentland portfolio, it was approximately 80% occupied and it had no rental program. By utilizing the rental program, our pro formas projected the occupancy to increase to 92% within 3 years, an NOI growth of about $3.5 million.
 That objective for increased occupancy was broken down by year for the first 3 years had 240 sites, 248 sites and the 94 site increase in occupancy totaling 542 sites. I'm pleased to announce that in the first 9 months of ownership, we have added 289 sites of occupancy equal to 53% of our 3-year objective. A fill at the rate of 32 sites per month means that each month we are adding $150,000 of annual revenue nearly all of which translates into funds from operation.
 So in summary, our primary markets are exhibiting strong internal growth from both rental and occupancy increases. Our expansions and acquisitions are outperforming pro-formas due to strong demand and we are looking at numerous acquisitions, which meet our criteria. With regard to FFO, we reaffirmed guidance of $3.17 to $3.27 per diluted share and we'd note as with prior years, our first quarter FFO is expected to be a strongest due to seasonal RV revenues, which are primarily recognized in the first and fourth quarter.
 And at this time, myself, Karen and Jeff would be pleased to take any questions. 
Operator: [Operator Instructions] The first question comes from Paul Adornato. 
Paul Adornato: This is Paul Adornato from BMO Capital Markets. First just a follow-up on the seasonality comments, I was wondering if you could quantify the seasonality that the company currently experiences in the fourth and first quarters compared to the rest of the year. 
Karen Dearing: Sure, Paul. We have about $29 million in RV revenues and $10 million of that is seasonal and that seasonal revenue is recognized about 45% in Q1, 24% in Q4, and 18% in Q2, and 13% in Q3. 
Paul Adornato: Okay, great. And looking at operating expenses were very low this quarter, I was wondering what kind of operating expense growth we might expect overall would be a good run rate to use. 
Karen Dearing: I would -- good question, Paul. I would say that, yes, our operating expenses for same site were a bit lower than what was expected for the first quarter and if I look forward, I would expect that total NOI growth for the remainder of the year, each quarter would be less than the 7.3% that we experienced this year. 
Paul Adornato: Okay. And finally, you talked about getting more and more applications for the rental program. I was wondering if you could provide an update as to the conversation rate of renters to buyers over time, is that if you've seen that as a better conversation rate over time. 
Karen Dearing: That conversation rate has been between 12% and 15% a year. 
Paul Adornato: And it has remained steady. 
Karen Dearing: Yes. 
Operator: The next question comes from Todd Stender. 
Todd Stender: Wells Fargo. First question, can we get a little more information on the 3 Florida RV communities you purchased in the first quarter, may be just which include occupancy give us some rates may be and then pricing, maybe how you look at this on a cap rate basis or price per site. 
Gary Shiffman: Sure, I think going a little bit back on memory only because the acquisition closed in 2 parts. The first part was 3 communities in fourth quarter and the 3 remaining communities first quarter of this year. Karen, do you have anything… 
Karen Dearing: The portfolio had about a 1,100 RV sites, significant portion of which were seasonal RV. So, I think there is about [indiscernible]. 
Gary Shiffman: Say, 40% permanent. 
Todd Stender: 40% permanent, okay. 
Gary Shiffman: That’s seasonal and I’m going back on my notes and I did just find something that was right around an 8.5% cap rate. 
Todd Stender: Okay. And just in terms of the loan you guys, you - it’s a $19 million loan that came along with that. Can you just give us the terms if there is the maturity they coming up on that? 
Karen Dearing: That loan is that - the 5-year loan is comes up in December 2016 and it’s 2.74% I believe. 
Todd Stender: Okay. And the proceeds, have you finished allocating the proceeds from the January equity offering. Is there anything left that might impact maybe the - that your results for this year any dilution? 
Karen Dearing: No, I don’t. 
Gary Shiffman: That would have been modeled into guidance. 
Todd Stender: Okay. And regarding the Kentland portfolio, can you just maybe go into some of the drivers behind and better than expected top-line and NOI growth, what’s really contributing to that? 
Gary Shiffman: I think we've shared the concept of lot of what’s taking place in our U.S. portfolio, the bottoming out of the economy if you will the length of those it didn’t have job so, it seems generally to be over, the uncertainty of expenditures and commitment to want to stay in the area has resided. So, there is stronger than ever demand for the affordability feature if you will in the Midwest we’re finding, and making the home inventory available through the rental program as just surprised us the how rapid and how strong the growth has been and probably going to allow us to accelerate rents in the area little bit faster than anticipated. 
Todd Stender: Okay and final question, can you just going and maybe some of the seasonality of your CapEx is the first quarter number looked the little light. Can we expect that quarterly run rate to ramp-up as the year progresses? 
Karen Dearing: Yes, we'll generally see a CapEx increasing most significantly in the third quarter, but we would, I would say as a run rate we gave guidance of about $8.4 million and we would expect that to coming at that dollar amount by the end of the year. 
Operator: [Operator Instructions] The next question comes from Jeff Lau. 
Jeffrey Lau: Sidoti & Company. The first question was touching on the G&A, I would kind of dropped the little bit this quarter is I guess you guys talked about guidance - reaffirming guidance is that G&A, I guess real property is still expected to be around $19 million this year? 
Karen Dearing: Yes, it is. I would expect the remainder of what it hasn’t been incurred through March 31 to be pretty ratable over the 3 quarters. 
Jeffrey Lau: Okay, and then I guess everything else since you maintain a reaffirming guidance, I guess in terms of home sales and occupancy still remains the same? 
Karen Dearing: Correct. 
Operator: [Operator Instructions] There appear to be no further questions at this time. Please continue. 
Gary Shiffman: Thank you, operator and thank you everyone who joined us today. We look forward to reporting results after earnings next quarter and as always both Karen, myself, and Jeff are available at the company for any further follow-up. Thank you. 
Operator: That concludes the Sun Communities first quarter 2012 earnings conference call. Thank you for participating. You may now disconnect.